Operator: Greetings, and welcome to Shapeways Third Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks. As a reminder, the conference is being recorded. Before we get started, I'd like to remind everyone that management will be making statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements. All forward-looking statements, including, without limitation, statements regarding our business strategy, future financial and operating performance, projected financial results for the fourth quarter of 2023, timing or results of any strategic transactions or future cost-cutting measures, impact of recent acquisitions, new offerings and market opportunity are based upon current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results to differ materially from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For descriptions of the risks and uncertainties associated with our business, please see the company's SEC filings, including the company's quarterly report on Form 10-Q for the quarter ended September 30, 2023. The information provided in this conference call speaks only to the broadcast date today, November 14, 2023. Shapeways disclaims any obligation, except as required by law, to update or revise forward-looking statements. Also, during the course of today's call, we refer to adjusted EBITDA, which is a non-GAAP financial measure. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued before market open, which can be found on our website, shapeways.com. On the call today are Greg Kress, Chief Executive Officer; and Alberto Recchi, Chief Financial Officer. And now, I'd like to turn the call over to Greg. Greg?
Greg Kress: Good afternoon, everyone. Thanks for joining us to discuss Shapeways' third quarter 2023 financial results and progress on our key initiatives and strategic growth plans. I will begin by providing a business update, and Alberto Recchi, our CFO, will then discuss our third quarter financial results and outlook for the fourth quarter. In the third quarter, we continued to execute our strategy to grow software and enterprise manufacturing revenue. Our conviction for Shapeways opportunity remains unchanged. We believe that the market is shifting towards digitization of manufacturing and is approaching an inflection point in the overall adoption of digital manufacturing solutions. And we believe that we are well-positioned to take advantage of this market opportunity across an array of industries due to our platform that combines high-quality, flexible, on-demand manufacturing with purpose-built proprietary software. We are encouraged by our progress with regards to our software business and the increasing traction with enterprise manufacturing customers. Additionally, we remain disciplined and prudent as we execute our operating plan and have continued to refine our cost structure. Our software business is scaling as expected, and we remain encouraged by our growing traction of SaaS contract commitments, increased customer acquisition, improved retention, life-time value expansion and new initiatives such as MFG materials, which was launched in late Q2. Through MFG materials, we believe we are providing a compelling value proposition to our customers by helping them save on raw material costs. We have recognized $2.2 million of software revenues year-to-date, up 81% from prior-year period. Our software product provide a critical tool for manufacturers, allowing them to leverage end-to-end manufacturing software to scale their business and shift to digital manufacturing in order to increase productivity. Turning to our enterprise manufacturing sales. We continue to increase our customer focus towards middle market and enterprise opportunities, and anticipate seeing accelerating benefits that -- from these investments in the coming quarters. We secured two new long-term agreements in Q3 with leading automotive and transportation manufacturers for multiyear production programs expected to ramp up to approximately $4 million annualized revenue by the end of next year. This affirms our commitment to and the proficiency in partnering with Tier 1 manufacturers to support OEM volume production. We continue to increase our share of wallet with existing customers on multiyear revenue projects and saw revenues from the first nine months of this year from our Top 250 customers grew 18% compared to the same period last year. In our self-service, ecommerce operations, sales remain stable, providing a good foundation for our growth initiatives. We are optimistic that we are seeing a more rational competitive backdrop with regards to our ecommerce business. While we remain encouraged by the momentum in our business in light of the elongated sales cycle and near-term macroeconomic uncertainty, we also initiated a number of cost reduction measures in the quarter. This included a reduction in force completed in October 2023, a reduction in new hires and a reduction in non-critical capital and discretionary operating expenditures. In addition, we have also been working with advisers and considering the strategic alternatives available to the company. Potential strategic alternatives may include, without limitation, a capital raise, a merger, a business combination, a sale of a material portion of the company's asset or other strategic transactions. We have not made any decisions regarding any potential transaction, and at this time, do not have any additional details to share. I would like to thank the entire Shapeways team, our customers, our investors and all our stakeholders for their ongoing support. Alberto will now discuss our financial results in more detail.
Alberto Recchi: Thanks, Greg. I'll provide a recap of our third quarter 2023 performance, give an update on our balance sheet position and provide guidance for the fourth quarter. In the third quarter, revenue was $8.4 million, flat from the prior year and slightly below guidance due to shipment delays from the third quarter into the fourth quarter, with about $0.5 million worth of contracted revenue related to three enterprise customers. We saw growth in software and enterprise sales partially offset by lower sales from marketplace and self-service. Our gross margins in the third quarter were 41% compared to 44% in the third quarter of 2022, but grew sequentially compared to the second quarter by about 100 basis points. We continue to deliver solid gross margin and the year-over-year change was primarily due to the ramping of recently deployed new technologies, a mix shift to non-3D printing and higher shipping costs, partially offset by software growth and price increases. We anticipate realizing margin expansion over time as we see more contribution from higher-margin software sales, the benefits from the consolidation of our U.S. manufacturing operation, as well as our cost optimization plan. Third quarter adjusted EBITDA was a loss of $5 million compared to a loss of $4.6 million in the third quarter of last year. SG&A expenses for the third quarter were $11 million compared to $7.6 million in the prior year, primarily reflecting increased professional fees and a write-off of certain equipment that will not be utilized in our operation and prepaid services associated with such equipment. As Greg mentioned, we have recently implemented cost alignment initiatives, including a reduction in force of 15% of our employees, including OpEx, which was completed subsequent to quarter-end. We anticipate realizing approximately $2.4 million in annualized cost savings as a result of our headcount reorganization. Turning to our balance sheet. As of September 30, 2023, our cash, cash equivalents and marketable securities totaled $17.7 million. During the quarter, we deployed approximately $7 million in cash and we remain prudent and focused on further improving our cash burn while proactively monitoring our liquidity. Looking ahead, for the fourth quarter of 2023, we anticipate revenue to be in the range of $9.3 million to $10 million. With this, we completed our prepared remarks, and we will now open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Greg Palm with Craig-Hallum. Please go ahead.
Danny Eggerichs: Yeah, thanks. This is Danny Eggerichs on for Greg today. I appreciate you taking the questions. I'd like to just kind of start with kind of more broadly what you're seeing in terms of demand, how it progressed throughout the quarter? And then maybe in terms of some of the pushouts, maybe at some of your enterprise customers. I think you said around $500,000 from Q3 to Q4. What's your confidence level that those, in fact, do hit in Q4? And is there any risk that maybe that and some of the others that you thought would hit in Q4 get pushed into 2024, just given maybe customers managing their year-end budgets?
Greg Kress: Yeah. Thanks, Danny. Thanks for the -- one, thanks for joining in, and good question. I would say, one, from a demand perspective on the sales side, we're still seeing really good traction. Our strategy of going out and supporting enterprise customers, I feel is working. And we continue to build a strong pipeline. And not only are we bringing on new customers, but the customers that we have brought on are also expanding their wallet. So, we're feeling quite good about that on the manufacturing side. To your point related to the revenue that pushed from Q3 into Q4, a lot of that is already shipped. I think one thing that we're finding with enterprise-level customers is, in the process, they are reviewing or potentially signing off on different steps of the process that whether it's a quality check or acceptance of the order or whatever it might be, that historically we thought we would be able to move through quite quickly. And I think we are just less in control of making that happen as fast as we'd like. And so, we may reach out to a customer and it may take them a week or two to get back to us to set up that review or from step to step. And so, I think we'll get better and better at it as we go. But at the end of the day, I feel like the orders that we're closing are strong, where we continue to win more orders from the same customer base. So, the expansion of wallet is really there. And then, I think -- we will see how the end of the year goes, but we actually -- we're making really, really strong progress already. So, we're feeling quite good about the guidance that we're setting for Q4.
Danny Eggerichs: Got it. That makes sense. Maybe if I can just hit quick on gross margin and kind of the outlook there. I guess, maybe if you assume more of kind of a consistent macro environment, maybe less fixed cost absorption, but then you also have the higher software contribution, and some of the cost initiatives that you've taken previously in the new one. So, I guess how should we think about gross margin in the next couple of quarters? Can you get back to kind of that low to mid-40%s? Yeah, just anything you got there? Thanks.
Greg Kress: Yeah. From our perspective, we see line of sight to getting back to that. There's a lot of opportunity for further price in the market. I think one of the things that we've talked about in the past is some of the pressures, specifically on price from more of our ecommerce channels. And what you've seen is some of the competitors in the space have reversed a lot of those decisions while we've kind of maintained that price. And so, with more volume coming back into the business, that allows us to optimize more and more of our manufacturing production volumes and reap more gross margin from the same cost basis. And so, we see line of sight to that continuing. And then again, software continues to scale. And as that becomes more and more disproportionate amount of our revenue that allows, obviously, a much significant higher impact to the gross margin mix. And so, yeah, we see line of sight to that continuing to move in the right direction.
Danny Eggerichs: All right, great. I'll leave it there. Thanks.
Operator: [Operator Instructions] The next question comes from Jim Ricchiuti with Needham & Company. Please go ahead.
Jim Ricchiuti: Hi, thank you. I think in the last call, you mentioned that there was a piece of business in order that you're expecting to ship -- had been expecting to ship in from an enterprise customer that you anticipated shipping in Q3. Did that order ship? Or is that part of some of this ongoing slippage that you're seeing?
Greg Kress: Well, thanks, Jim, for joining. I appreciate the question. Yeah, that order that we referenced back in Q2 did ship in Q3. And actually, part of the orders that didn't ship in Q3, into Q4 was an additional order from that exact same customer. And so -- but yeah, the order that we referenced back in Q2 did ship out in Q3.
Jim Ricchiuti: Got it. And you may -- I joined the call a little bit late, you may have provided this detail. But I think in the first half of the year, I believe you said you generated, what, about a little over half of your revenues from enterprise customers? Can -- what does that look like in Q3? I apologize if you gave that.
Greg Kress: No, we didn't give that. And I don't have that number ready -- like off the top of my head, but we can always follow up with you. But again, I think that what we did mention in the script was -- in our prepared remarks that we did see 18% revenue growth year-over-year for the first nine months for our -- for those enterprise customers. So, we are continuing to see that customer base grow. And then, we've talked a lot about our ecommerce channels and some of the pressure that we've had on that revenue line over time. But we're actually seeing that although we may solve year-over-year pressure, it's really stabilized over the last six to nine months. And so, pretty consistently, we're seeing that business stabilize and continue, but we'll see most of our growth coming from our enterprise manufacturing customers, at least on the manufacturing side.
Jim Ricchiuti: Got it. And obviously, there's some moving parts here with what you're seeing in the market and some of the cost actions you've taken. But I'm wondering if you can give us some sense as to how you're looking at the cash burn in Q4.
Greg Kress: Yeah. Our goal is to continue to make progress on reducing that cash burn on a quarterly basis. And the way that we're doing that is really by focusing on: one, driving top-line growth, and so, I think we have pretty good line of sight to the revenue forecast that we have in place and the guidance that we set for Q4; continued improvement in gross margin, not only from just mix, but also there's some opportunity to price and a lot of value-added services that we're providing to our customer base; and then last, we want to continue to optimize our OpEx. And so, there's projects pretty much across the board focused on reduction of our operating expense and trying to make sure our cost structure is aligned as closely as it can to the revenue lines in the business that are showing the most progress, right? And so, when we made some of those changes to the business in October, it was really around making sure that we tightened up areas where we weren't seeing the best ROI. And so, ultimately, we'll continue to do that moving forward. So, we should see continued improvement in our cash burn on a quarter-by-quarter basis.
Jim Ricchiuti: And were those reductions that you made across the organization where they focused in certain areas, Greg?
Greg Kress: They were pretty much across the organization. I think we -- it impacted six to seven individual functions. And ultimately, we didn't make a lot of impact to commercial functions, because the commercial functions today are delivering strong results or at least meeting our expectations on results so far with strong pipelines. And so, most of the support resources that we had been working on over the last, say, 12 months that maybe weren't returning as much as we had hoped for. And so, we started tightening up a lot of those roles.
Jim Ricchiuti: Okay. Thanks a lot.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Greg Kress for any closing remarks.
Greg Kress: I just wanted to thank everyone for joining us today. We continue to focus on executing on our strategy, and we see a lot of opportunity in front of the business. We will continue to provide updates as we go, but thanks for joining us today, and we'll talk to you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.